Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of BNP Paribas' First Quarter 2017 Results. For your information, this conference call is being recorded. Supporting slides are available on BNP Paribas' IR website, invest.bnpparibas.com. [Operator Instructions] I'd now like to hand this call over to Mr. Lars Machenil, group Chief Financial Officer. Please go ahead, sir.
Lars Machenil: Thank you, operator. Good afternoon, fine ladies and gentlemen, and welcome to our first quarter 2017 results presentation. In our usual way, I'll take you through the first 2 chapters of our Q1 results presentation, and then of course, I'll hand it over to you for Q&A. So starting with our key messages on Slide 3. In the first quarter, BNP Paribas delivered a good operating performance. Revenues and particularly, of our operating divisions performed well, marking a 7% increase on Q1 last year. Costs progressed at a lesser pace than revenues, leading to a sharp rise of the operating division's gross operating income, which was up 12.5% in the first quarter. After all this, the cost of risk, also an important point, marked a significant reduction this quarter to stand at 32 basis points in terms of loan outstanding. So overall, the group generated EUR 1.9 billion of net income in Q1, up 4.4%, given limited positive one-offs items compared to Q1 of last year. Net of one-offs, net income progressed by 13.2%. Then when it comes to ratios, let's start with our common equity Tier 1 ratio, which stood at 11.6% at the end of March versus 11.5% at year-end of 2016. So as you can see, the group delivered solid results with good business growth and further strengthened its common equity Tier 1 ratio. So if you can now go to Slide 5, where we can look at the exceptional items, you can see that they stood at EUR 31 million pre-tax. On the other hand, Q1 last year had seen quite positive exceptional elements, mostly on the back of OCA/DVA revaluation. You also see on this slide a first wave of transformation costs. I'll remind you that this is the startup of our 2020 transformation plan, leading to a more effective and digital bank. So on the following slide, #6, you can see the impact of IFRIC 21 on the Q1 accounts, of course. In fact, as you probably know, because of the application of this IFRIC 21, Q1 accounts for the large majority of banking taxes and contributions for the year, including amongst others, the full year contribution to the Single Resolution Fund. In the first quarter 2017, we booked the increase in banking contributions and taxes that we accounted for last year in the second and the third quarter, and this for a total of EUR 84 million. So Q2 and Q3 had an additional EUR 84 million booked in 2016, which now has been booked into the first quarter of 2017. And so therefore, for the whole 2017, we estimate as of today, that the contribution to the IFRS and the systemic banking taxes should be roughly stable compared to the full year 2016. So having done that, if you now advance to Slide 7, you can see the good performance of the operating divisions I've mentioned and the 13.2% increase in net income excluding one-offs. This in turn means that we delivered a 10.4% annualized return on equity, excluding the positive one-offs. The annualized return on tangible equity stood at 12.3%. Now, focusing on the revenues of the operating divisions. If you flick to Slide 8, you can see the contribution of the 3 divisions to the 7% revenue growth of the operating divisions. Domestic Markets revenues marked a slight decrease due to the low rate environment. IFS' revenues rose by 5.8%, and there was a sharp rebound of 20% at CIB, which had experienced a very challenging market environment in Q1 of last year. Continuing and advancing to the following slide #9, you'll see that cost of our operating divisions reflected the effects of business growth in IFS and in CIB, which for CIB, of course a low base in Q1 2016. As well as the impact of the application of IFRIC 21, which entailed booking this quarter the entire increase in banking contribution and taxes that had been accounted for in Q2 and Q3 of last year, as discussed a few moments ago. So if we now shift to the cost of risk, I will kindly ask you to flick through the 3 dedicated slides on this theme, and they start on Slide 10. You can see the cost of risk declined to stand at the low level this quarter. On the whole, this low level of cost of risk resulted from the continued decrease at BNL, combined with write backs and low provisioning in other businesses. So looking at the different businesses one at a time. In Corporate Banking, provisions were more than offset by write backs this quarter. Looking at our Domestic Markets on Slide 11, cost of risk was low in French Retail, nil in Belgian Retail as provisions were offset by write backs, and we continued the tapering off and therefore, the decrease at BNL. In the other retail businesses on Slide 12, Personal Finance saw a low cost of risk this quarter, benefiting from the low rate environment and the gradual shift towards products with a better profile, like I was given the example of car loans. Europe-Mediterranean's cost of risk was positively impacted by a EUR 40 million provision write backs, while BancWest remained at the low level. So having looked at this, if you now turn to our financial structure, which is on Slide 13, you can see the further improvement of our common equity Tier 1 ratio to 11.6% that I mentioned at the start. The actual improvement was 15 bps, mostly driven by the sale of 20.6% of First Hawaiian Bank in February, which generated 10 bps of ratio. I remind you that consistently with our 2020 plan, we have of course set-aside 50% of our Q1 net results for dividend payment. And next to that, our Basel III leverage ratio was at 4.1% and our liquidity coverage ratio stood at 125%. So this is the slide on our ratios, which you see are basically in good shape. And if you now kindly swipe to Slide 14. You can see how our net book value per share continued to grow, as it has done year-after-year. At the end of March, our full book value per share stood at EUR 75.1, and our tangible book value per share stood close to EUR 65. So fine ladies and gentlemen, if you could now advance to the divisional results, and they start with Retail Banking & Services, and more precisely we can start with Domestic Markets, which you can find on Slide 18. On these Domestic Markets, you remember that on April 4, we announced the acquisition of what is called in French, Compte-Nickel, and it is in France, that will complete our offer related to new banking usages coherently with our digital approach that I mentioned at the start. Thanks to the addition of Compte-Nickel, whose distribution agreements with the Confédération des Buralistes, so basically an alternative distribution channel, has been recently extended. Our setup in France now includes a compressive offer of solutions adapted to our client needs. So alongside Hello bank!, which is, I remind you, the digital offer of a French Retail Banking, and then of course, there is the branch network. Compte-Nickel has proved highly successful since its launch in France, as I mentioned, just 3 years ago. Over this period, it has attracted over 540,000 clients, leveraging its real-time execution capability and a full digitalization of its processes. I just want to remind you that they are basically on the vanguard of this digitalization of processes. And I also remind you that the target is to accelerate client acquisition and reach 2 million accounts by 2020. In terms of the activity in the first quarter, Domestic Markets showed good business drive with 5.2% loan growth and 9.1% increase in deposits, and so this is of course, covering all the networks. Private Banking's good development was confirmed by the 8% growth in assets under management compared to March of last year and Hello bank! successfully on-boarded 100,000 new clients to reach a total of 2.6 million clients. If you now look at the BNL, we see that revenues reached close to EUR 4 billion. They are down slightly versus last year. As we had anticipated, low rates continued to weigh on net interest income, but we successfully offset most of the impact through business growth and higher commission income in all the networks. Costs were 0.8% higher on a comparable basis. That is netting out the IFRIC 21 impact that I mentioned at the start. Given a significant reduction in cost of risk, especially on the back of continued improvement at BNL in Italy, pretax income stood at EUR 707 million, marking a 2.5% improvement on last year. So overall, a good performance in terms of pretax income for our Domestic Markets, within particular and the synthesis, good growth in business activities in all 3 networks, French Retail in particularly showing good growth of loans and of private banking assets under management. BNL, showing an increase in loans and a good performance in terms of all balance sheet savings and a continued reduction of its cost of risk. Belgium, also growing credit outstanding helped balance sheet savings and the remaining part, which is specialized businesses, delivering good sales and marketing drive and of course, related income growth. So in conclusion, our Domestic Markets fared quite well in the first quarter, showing good business drives and higher income, but of course, still reflecting the low interest rate environment. So having looked at Domestic Markets, if we stay in Retail Banking and Services, if you could swipe to Slide 23 on your device, and you will see the synthesis of International Financial Services, and you'll see that it shows a good business drive. In particular, Personal Finance continues its good drive and announced in March the joint acquisition with PSA of General Motors Europe's financing activities. Also International Retail Banking showed good business growth and insurance, and Wealth and Asset Management showed strong net asset inflows in the quarter. And from this, we know tilt into the P&L, we can see that the revenues were 5.8% higher, thanks to good growth of Personal Finance, Europe-Med and Wealth and Asset Management. There was also a strong rebound of insurance revenues versus, I remind you, a low base in Q1 last year. And thanks to a positive [indiscernible] effect and lower cost of risk, pretax income improved to EUR 1.2 billion, up 16% on the first quarter of last year. Now going into a bit more detail for each of the business lines in IFS. You can advance first to Slide 24, where we look at Personal Finance. And as I said, PS announced the acquisition with PSA group of General Motors Europe's financing activities, which is basically in 11 European countries. The deal, which will bring an additional EUR 9.6 billion of loans outstanding to our Personal Finance, is expected to be finalized later this year and especially by Q4. And once completed, it will be fully consolidated in our accounts. Looking next to that, in the first quarter, PF continued its very good business drive, with outstanding loans up 11.2%, thanks to high demand in the Eurozone and the positive effect of new partnerships. Consistently, with PF's 2020 development plan, we signed during the quarter new partnership agreements in new sectors of activities , such as for example, tourism and also new countries, such as for example, Austria. Now having looked at the activities, if we look at the P&L, revenues were up 4.5% on the back of the above mentioned volume growth combined with, of course, the shift towards products with a better risk profile. So revenue growth was driven in particular by the Italian, Spanish and German markets. Then after looking at the top line, we look at the cost line, that -- where they basically progressed on the back of the increased level of activity and were up 3.3%, excluding the impact of IFRIC 21. As I said, cost of risk was at a low level, and pretax income progressed to EUR 353 million, making a 6.1% increase on last year. So in conclusion, Personal Finance delivered another strong quarter with dynamic business drive and increased contribution to the group's results. So if we continue with our review of the parts of International Financial Services, we could now move to our non-Eurozone retail activities, which is basically Europe-Med first on Slide 25. So here, business activity showed good growth in all regions, both in terms of loans and deposits. Our digital banks in this area confirmed their successful development with CEPTETEB in Turkey exceeding 380,000 clients and BGZ Optima in Poland, reaching 205,000. Still in Poland, we are continuing to develop our cross-selling, as for example, in consumer lending, where credit outstandings were up 12%. Now after having looked at the businesses, lets now look at the P&L, where taking into account variations at so-called constant scope and exchange rates, revenues progressed by 6.2%, thanks to the good volume growth that I mentioned. Cost increased at a lesser pace on the back of the good business development. Overall, given also the lower cost of risk due to a write back this quarter, Europe-Med's results increased by 28.2% in the first quarter of the year. As published, the increase stands at 13.5% due to an unfavorable Forex effect because of what I said, the evolutions I gave were at constant scope and exchange rates. So now if we now cross the Atlantic and also a slide and we go on to Slide 26, where we look at BancWest, and where we can see that the feature of this quarter was the successful placement in the market of 20.6% of First Hawaiian Bank, which is now 62% owned. I remind you that we'll continue to fully consolidate the entity for as long as we maintain effective control. In the first quarter, BancWest confirmed its strong business drive, with loans up 7.7%, driven by both individuals and corporate lending, and also deposits increasing by 11.4%, always compared to last year. Again, if we look at evolutions expressed in constant scope and exchange rates, we see that revenues were virtually lower due to the impact of  significant capital gains on the sales of securities and loans in Q1 of last year. Net of this effect, revenues were up 5.3% on the back of the good volume growth we mentioned. Now if we look at the other line, namely cost, they were kept under control and on the whole, BancWest's pretax income came out lower than last year, but only due to the base effect related to securities and loans sales that I mentioned just before. Net of this effect, pretax income increased by 16%, confirming a good operating performance of BancWest. If you could now kindly flick to Slide 27, where we look at our savings and insurance business, which saw assets under management progressed by EUR 32 billion over the quarter to reach EUR 1.042 trillion at the end of March. Assets under management were also positively impacted by strong asset inflows in our businesses and by a positive performance effect. If we look, in particular at the Insurance business and look at it on Page 28, it continued to show good net inflows in 2 unit-linked policies in the first quarter. Revenues rebounded strongly, bearing in mind the low comparison base of last year. Generally, protection activity progressed well and savings activity in Asia picked up versus last year. Costs, on the other hand, were up due to the continued development of the business. And overall, insurance pretax income marked a sizable 63.8% improvement in Q1 to stand at EUR 326 million. Now if we move to the other part of this activity, so moving into Wealth and Asset Management, we observe that revenues increased in all business lines. Overall, they increased by 7%, bearing in mind that Q1 of last year has seen unfavorable market conditions. Costs were well under control, leading to positive draws. And in the synthesis, pretax income marked a significant improvement of 29.7% to clock in at EUR 270 million. So globally, strong income growth in our Insurance businesses compared to a low base in Q1 2016 and a good performance in all businesses in our Wealth and Asset Management. So with this, we basically conclude our Retail and Services, and I would like to ask you to kindly cast your eyes now on Slide 29, where we see Corporate and Institutional Banking, so CIB. So this CIB displayed growth in business activity and a strong rebound in income generation compared to a low base last year when market conditions had been unfavorable. Revenues topped EUR 3.2 billion, making a strong 20% increase on last year, with a good performance in all 3 business lines. When we look at the cost, operating expenses progressed on the back of the increased level of activity that showed largely positive draws, thanks to effective cost control, deriving from the implementation of cost-saving measures, which I remind you, that we started in 2016. As a result, gross operating income leapt by 67.3% and given net write-backs in the cost of risk this quarter, pretax income surged 93% to stand at EUR 787 million. So if we now turn to the next 2 slides, that is 30 and 31, let's take a closer look at the 3 businesses that make up our Corporate and Institutional Banking. So if we start with Global Markets, you see that revenues leapt by 33.1%, thanks to a significant pickup in activity compared to the very challenging beginning of 2016. Fixed Income marked a 31.9% improvement with a particularly strong performance in rates, good growth on bond issues and credit, and a good contribution from Forex and commodities. We confirmed our top ranking on all bond issues in euros and #9 position for international bond issues. The business also continued to optimize its resource allocation by disposing our super  [indiscernible] portfolio representing EUR 2.5 billion of risk-weighted assets. So this is fixed income. If we switch to equities, revenues were also significantly higher, marking a 35.5% improvement on last year on the back of a strong rise in Prime Services and a rebound in derivatives activities. If we now return to the second part of that CIB, so we turn to Securities Services, so revenues progressed by 8.5% on the back of growing outstandings and higher transaction levels. In Q1, we also gained some new significant mandates, such as Mapfre in Spain worth EUR 60 billion of assets under custody. Last but not least, the third one in that row is Corporate Banking, whose revenues progressed by 6.7%, with growth in all regions, and a 19% improvement in commission income compared to a low base last year. We saw a good start to the year in advisory and sound performances across Europe in areas, such as higher [indiscernible] financing, export and media telecom. Transaction banking also evolved well, they drove its growth both in cash management and trade finance. So in a nutshell, a strong quarter for our corporate and institutional banking with good business drive and strong revenue growth in all of the 3 businesses. So with Slide 32, which basically concludes my introductory remarks for our first quarter results, and as a take away, I would like to retain that BNP Paribas show good business growth this quarter. Also that income of the operating divisions were sharply higher, that our common equity Tier 1 ratio increase to 11.6% and the 2020 plan starts in good conditions. So thank you very much for your attention. Ladies and gentlemen, I'll now be glad to take your questions.
Operator: [Operator Instructions] Our first question is from the line of Lorraine Quoirez at UBS.
Lorraine Quoirez: Just if I remember well, I think you guided for 3% revenue decline in French Retail this year, are you still comfortable with this guidance? So do you feel you could revise it upwards, looking at the performance in Q1? Also, could you maybe be precise what level of fees related to refinancing are booked in the Q1 NII? My second question will be on CIB. The performance of Global Markets revenue was pretty strong, and I wonder whether you could provide us with a bit of an indication of what part of the revenue growth was like, I would say, corporate driven? And what part was much more like a flow driven?
Lars Machenil: So first of all, if I look indeed in France. So when we said that there was a minus 3% top line guidance, it was that indeed we expected the impact of the low interest rates to continue. However, we also said that we would fight it between quotes by working with our customers, helping them finance their plans so therefore, growing our volumes and also providing them additional services, leading to additional fees and commissions. If you look at the first quarter EBITDA, it basically is relatively positive. So you can see that the loans are up 7%, deposits are up 12% and fees are up 3%. So of course, this intrinsically will help to compensate somewhat this low interest rate environment. Now if this is to continue for several quarters and it's just a touch -- too early to say it will, but if it is, it will definitely help contributing to lowering the impact of the low interest rate environment. When it comes to your second question on the split, we basically do not provide this information. And on CIB, when it comes to Global Markets on your question, you do know -- just to make sure that you understand, our main activity is basically client driven. Let's be very fair. Today, in the Basel environment, things like [indiscernible] trading is a no go. So for us, it's really client driven. As you can see, we saw very good volumes. You can see that into Global Markets, but you also see that into our Securities Services. You see it in Corporate Banking. So that's basically what's driving our pickup. That would answer my -- that will be my answer, Lorraine.
Operator: We are now [indiscernible] Tarik El Mejjad, Bank of America Merrill Lynch.
Tarik El Mejjad: First on the cost of risk. Provisions this quarter were exceptionally low at 32 basis points of loans, probably the lowest in many years. So this performance was driven by the lower provisions in Europe-Med, Belgium and CIB. These are all divisions that did not specifically or not specifically identified as potential source of [indiscernible] improvement during Investor Day. So in that context, would you consider this quarter low provisions as a one-off and you stick with your targets? Or would you review down your guidance for the group? My second question is on operating costs. Last, you mentioned a few times in the presentation today that the high cost were driven by -- the growth in the costs were driven by low base in Q1 last year. Should we take then Q1 '17 obviously, adjusted for IFRIC as a new base for cost? Or is still this is something [indiscernible] there? And just still on cost, usually for the [ simplification ] plan previously, you usually have this nice slide where you show the savings and the transformation cost you've done every quarter. Could we have something similar for the new digital transformation plan you've presented in 20th of March of this year? That's my questions.
Lars Machenil: Tarik thank you, for your 2 questions. But I probably did count them wrong, so I get the 3. So if I take the first on the cost of risk. So indeed we mentioned that the main thing is that we expect, with all the restructuring that we've done in Italy, that the cost of risk in Italy would taper off, that it would taper off over time. Now it is true that in several areas, the cost of risk is low this quarter, and then what we have mentioned that, for example, in Belgium, the write backs and in IFS, the write backs, they are more of a kind of an exceptional kind of nature. On the other hand, on Corporate Banking, it is true that there are also some write backs, but intrinsically, the provisions are also somewhat lower. But it is, at this stage, it's the first quarter. It is early. So we don't give any update to our overall guidance at this stage. When it comes to your question on cost, yes. There is basically 2 drivers. So the first driver as you look at it is IFRIC 21, where we have crystallized in the first quarter of 2017, costs also that occurred last year or last year two years ago in 2016 in the second and the third quarter. The other thing is that if you look at the businesses, there is one business where the costs are also related to the volumes in the business and that is in particularly, CIB. So you can see that with a pickup of the business in CIB, there is also a pickup in the variable costs. So that is basically the 2 drivers underlying the costs, whereas for the rest of the business, it is basically business as usual. When it comes to business as usual, your question on indeed our Simple & Efficient slide, I take note of your question. We are in the first quarter of launching our plan. So as you can see, we have invested the first step, but it's starting. So this will ramp up. So at the moment, we will be closer to the full swing. We will, of course, introduce that one slide that gives us the synthesis of where we are. So it's well noted. It will be our pleasure.
Operator: We are now over to the line of Jon Peace, Credit Suisse.
Karl Peace: My first question was on the trading revenues in Global Markets, where the growth rate was noticeably stronger than European peers. So I just wondered what you would put that down to? Do you think it's the mix, so things like derivative products? Or do you think you've gained some market share from your peer group? And the second question was on the Corporate Centre. Again, it has a habit of surprising positively in revenues. Could you just sort of give us a little bit of an update on the guidance there, particularly as it relates to the sort of private equity gains going forward? What's the run rate might we expect?
Lars Machenil: Jon yes, a couple of things. So on the trading so indeed, we already gave a part of that in the previous questions. So indeed, as you know, we're focusing or we are in shape of being able to serve our clients. So we are both on capital and on other elements, we're fine. We further improved so that we really can serve to our clients with the Global Markets, but also the other parts of CIB. So that's what we're doing. And if you look and for what it is worth, but if you look at some of the statistics of market share like Dealogic, you'll see that indeed there has been a rise somewhat in the market share. So that is basically what we do and we will continue to do so. And yes, on the Corporate Centre, on the Corporate Centre, there are somewhat some elements that can be -- lead to result, which is a bit better than our guidance that we've given and our guidance. While it can be 1 quarter or another, it can be better, but it doesn't mean that we change it. We give you the thing that we think is the realistic level we can get, and we wouldn't want to fall below that. So sometimes, from time to time, there will be a positive effect. And of course, let's not forget, there is one thing, which we published, there has been a part of a sale of Shinhan, which basically leads to a gain that is seen in the Corporate Centre.
Operator: Our next question is of the line of Jean-Pierre Lambert at KBW.
Jean-Pierre Lambert: Two questions on my side. The first one, you seem to be outperforming the market in the growth of French loans. So the back book is up 4.7% for the market in February, and you are above 7%. So any color for this outperformance? Any pattern would be of interest. The second question relates to Asset Management inflows. You had an impressive EUR 10.9 billion inflows. That's 10.5% annualized. That's a reversal from an outflow of EUR 2.7 billion in the fourth quarter. So what's the source of this inflow? You say it's a cross product, but is it's France or international? Is it institutional? Is it retail? Any pattern would be of interest.
Lars Machenil: So first of all, on your question on French Retail loans, so yes, it is true. That the 7% is somewhat flattered by the fact that if you look back at last year, so a year ago, we were at that low. So we had a little bit of a reduction a year ago, which makes it that the base is a bit lower. So the increase is somewhat flattered by that. So that's on the loans. When you look at assets under management, Assets under management, as you know, we have done as part of our evolution, that's part of the elements, which we switch focus, both in the assets under management and so the Private Banking, which is in our retail as in the non-retail market, and basically all of them have been doing well. There have been both in the products that we had to offer. They have been well received, and that's basically the growth that you see in most of the activities.
Operator: We're now over to the line of Delphine Lee of JPMorgan.
Delphine Lee: Two questions on my side. First of all, I just want to come back to Global Markets, just to understand the cost increase here because IFRIC does not explain everything. I mean, should we think in terms of decline in cost/income ratio for the full year? And or is that related to the variables that you just mentioned, I think, in the previous question? And then secondly, just noticed on your liquidity reserves that it has continued to increase. I was wondering, if the objective is to continue to improve the LCR ratio or you're kind of happy with where you are.
Lars Machenil: Yes, on Global Markets and on the cost. So let's not forget as I said, there's 2 basically, 2 main drivers for our cost. So there's IFRIC 21, which basically has the impact that we said. And the second part is that, on Global Markets, this quarter compared to a year ago is a totally different environment. I don't know where you were a year ago, but it was a different environment. I mean, that meant that there was a lot of less activity going on, which also meant that there were a lot less variable cost, variable cost call that bonuses and the likes that you have in the variable costs. And so what we've seen is that, there has been a strong pickup, so there is also a pickup in those costs. So that is, for us, basically in line with that. And so there is nothing abnormal in it. When it comes to liquidity, let me tell you that as I said, when it comes to ratios like the leverage and the LCR, it's kind of a back-up. So we have to be above -- we want to be above 4% on leverage ratio. We want to be above 100% on LCR. And that's basically. So we are not in the business of accumulating liquidity or other stuff, and that's what it is. So this time, from time to time, you will, of course, see peaks. You will see peaks, for example, in the LCR when there are things like the TLTRO, which happened in the first quarter, and then we take a pickup, that basically leads to a boost, which then tapers off once it gets redeployed. So that's basically it. So there is nothing this particular of it, and we're basically not in the business of considering these elements different than a [ back-stop ].
Operator: We're now over to the line of Bruce Hamilton of Morgan Stanley.
Bruce Hamilton: A couple of questions on CIB again, so just to make sure I've understood. On the cost, you're saying, it's mainly -- a decent amount of it is variables. So if revenues were to weaken, we should expect that you can manage the cost base. So it's not a function of more investment going into that division. And then secondly, in terms of the market share gains you appear to be making, you mentioned they're logic data, but where is you look forward, are you most confident on further opportunities in market share, given your footprints and capabilities? In prime services, you've obviously done quite well. I mean, if you lay out any other areas where you have more confidence on market share looking forward, that would be helpful. And then finally, just on Basel sort of negotiations, obviously [indiscernible] with the -- without a U.S. member on the committee, but what's your sort of current thinking in terms of timeframe for finalization? Is it by year-end or beyond? And do you still think sort of outflows likely in the final version? Or is it just still unclear, it's hard to say?
Lars Machenil: On CIB, I think you synthesized it well. So as I said, it's variable. So indeed, if revenues would go down going forward, so will the cost. I hope that this is clear. And when it came to your question on market share, so indeed it's true that some services like prime services, we're seeing that. But I think for us, what is our capability? Our capability is, of course, on one hand that the bank is ready to service customers. But at this ready to service customers also in [indiscernible]. What you see is that there is also a tendency of these kind of activities within our counterparties to be centralized. So imagine that the Treasurer says, I'm going to centralize my treasury, and he also wants to basically centralized the banking, with which he works. And so he prefers the banks with whom he can have a wide range of products, and that's basically what we do. That's the core of the cross-selling and the diversification of what we do. So that is what we will continue to do. Now on the pop quiz of Basel, I don't know. Can I use the Fifth Amendment? No. The thing is on Basel, you're absolutely right. For the moment, the U.S. is not around the table. So the U.S. has to decide who's around the table. So that I don't know. That might happen by December. And then we have to be sure that, that person has aligned the U.S. so that it basically represents the U.S. So that also might take some time. And then depending on if this is a view, which is different from Europe, then it will take time to get a kind of an agreement, which represents a level playing field. So it could take quite some time. That is why Basel IV, in our plan leading up to 2020, we have not taken it into account. As I said, because on Basel, it will already take some time. Afterwards Basel then has to become translate into law, which will take time as well. So we haven't taken that and we don't expect it to be applicable during our plan of 2020.
Operator: We are now over to the line of Jacques-Henri Gaulard at Kepler Cheuvreux.
Jacques-Henri Gaulard: IFRIC 21 contribution for 2017, which is EUR 1 billion, roughly, same as last year. Is it fair to assume for 2018 that, that would be the same? First question. And the second one on Compte-Nickel, very well done on this acquisition. It's a really good brand. Question is, if the bank that claims to be the bank for the people with no bank. And you're the opposite of that culturally, in a way. Do you plan to integrate it? Or is it something that is going to continue to develop independently from the rest of the brand?
Lars Machenil: And Jack, maybe the first words I didn't get it, but I think you asked about the EUR 1 billion of the IFRIC 21 and what it would mean in 2018. Listen, so yes, for the moment, our hypothesis is that indeed 2017 would be roughly the same amount as 2016. For the moment, I have no indication to see that there would be new rules or coming in that would dramatically change that. So it would be -- I would assume today that it would be in the same order. I mean, it can be somewhat differentiating. But it can also be that, over time, there are new rules coming in, let's say, last year. Last year, when we booked it in Q1, we didn't know that in the third quarter in Belgium, there would be different waves coming on. So yes, for the moment, today with the current information that will be the best guess. So on the Compte-Nickel, no, the thing is you have to be right. It's a bit of a different channel and we basically consider it as a complementary one. So as I said, we can reach customers through Compte-Nickel, we can reach them through a full-fledged digital bank, and we can reach them through a full-fledged branch bank. And so that's what it is. So it basically makes a complementary kind of addition to our overall setup of the changing bank.
Operator: Our next question is from the line of Anke Reingen at RBC.
Anke Reingen: My first question is on your targets you announced in March and obviously, Q1 is already a very strong performance. Would you then describe your targets as being conservative? Or would you just be -- being cautious on extrapolating giving seasonality and other factors? And then secondly, could you just remind us on the tax rate guidance and what your assumption on there is for France?
Lars Machenil: When it came to the targets, we indeed clarified that what we published and clarified further in March, that it was based on basically, I took a picture of what the macroeconomic parameters were in September and we basically run the numbers on that. And so if indeed we said at that time that if the macroeconomics would be more what was in the forward curves at that moment, that indeed, there would be a little bit more positive kind of evolutions. And that is a bit to some extent, what you might read into the first quarter. But it is too early after one quarter to basically get that evolved. So we basically stay to the guidance and the comments that we made, when we published the targets and we monitored closely. The second thing is in the tax rate, it is true that -- honestly, a tax rate on a quarterly basis doesn't necessarily mean much. There can be shifts, there can be shifts also depending on the kind of elements and the contributions of the top line. And so basically, we stay on a guidance of a yearly basis tax rate of 31%.
Anke Reingen: And what does that assume for France, in case there's a change in the tax rate?
Lars Machenil: That would -- as you know, that clarification -- that would happen by 2020. So that would not be a change for the guidance for this year. That will be a guidance by 2020 that we would evolve.
Anke Reingen: And the 2020 target included a 31% tax rate. Is that correct?
Lars Machenil: That would gravitate toward something like that, yes.
Operator: We are now over to Stefan Stalmann at Autonomous Research.
Stefan-Michael Stalmann: The first one, going back to Compte-Nickel, could you give maybe a rough indication of what the financial impact of this might be, in particular in terms of CET1 investment up front? And the second question goes back to the liquidity buildup. I hear you on the TLTRO, but I would have thought that, that should have actually boosted the LCR ratio much more than it did, but the LCR ratio was only up at 2 percentage points despite the fact that you built EUR 40 billion of additional liquidity. So the question here is, I guess, has anything changed in the way that you model your cash outflows that go into the LCR ratio? And maybe related, is this liquidity buildup possibly a function of the, at that time, expected French election, which could be unwound once the French election is done? Or is this not the context at all?
Lars Machenil: So on Compte-Nickel, we basically disclosed that the impact on common equity Tier 1 would be very low. So single digit and low-single digit. So when it comes to liquidity buildup, there's typically what it is,  it has you know, the last quarter and the first quarter of the year are a bit different. So meaning, the last quarter is basically 2.5 months of activity, given holidays and the likes, and the first quarter is more like 3.5 months of activity. So you typically see a pickup in activity, which then also consumes part of what the LCR is about. So that is basically what it is. And on the French election, honestly, the only thing I can say is that in the date today, it is business as usual. So the activities goes on, and there is no particular thing to be mentioned. That will be my answers, Stefan.
Operator: The next question is over to the line of Kiri Vijayarajah at Barclays Capital.
Kiri Vijayarajah: Just a couple of questions on capital, actually. So the leverage ratio looks like it's jumped a fair bit this quarter. I guess it's partly seasonal. You've got a lot more activity in CIB. But from here, do you expect it to be pretty steady? Or are there levers to maybe take that back down again? And then secondly, on that EUR 2.5 billion portfolio you sold in Global Markets. Is there more of that to come? I remember in your March Investor Day, I think you had EUR 12 billion earmarked to come out of CIB. So is there more to come through there?
Lars Machenil: So as I said, the leverage for me is a backset, yes. And so that means we pull it out and we want to gravitate at 4%, and that's basically it. So indeed, the reason why there is some swings, is a typical swings also in balance sheet between the last quarter and the first quarter. So that's basically it. That's, If you look back, that's basically what we had. So it's basically, it gets a little bit of pressured in the first quarter and then it basically picks up toward the year-end and then it starts all over again. So for us, as I said, we want to stay at 4% and that's basically it. So there is no specific thing to be done at it for the moment, that's fine. When it comes to the EUR 2.5 billion, yes, you're right. So we mentioned earlier, as you mentioned, that there was EUR 12 billion to be done. And of course, we optimize that, how it works if the pricing is right. So there is EUR 2.5 billion done this quarter. I remind you that there is [indiscernible] that was done last year, so you can see that we start to gravitate towards the target that we set forth. So that will be my answers.
Operator: We are now over to the line of Maxence Le Gouvello at Jefferies.
Maxence Le Gouvello du Timat: My first question would be regarding fees in the retail in France, Italy and Belgium. Can you give us an idea of the split between the service fees and the financial fees in term of performance? And also a detail of which product people are buying on the financial fees, that will be the first one. The second question is regarding BancWest. Doing all the data in dollar to avoid the FX impact, quite bazaar to see such a drop of the revenue margins on loans on this quarter versus the rest of last year. I just think from the exceptional of Q1 last year. Can you give us some color, please? Last point is can we go through again the solvency calculation because I'm not able to get everything together, as you have roughly coming from that net profit, 30 bps of solvency, of which I'm taking half for the dividend, would mean [ 15 plus ] The First Hawaiian stake is in the 25 and you're only increasing by 10 bps your solvency over the quarter.
Lars Machenil: So yes, if we take it one by one. On the fees in retail, there, of course, there is indeed a pickup in services and financial. There has been a bit more dominant growth on the financial domain in it. What is it? It's a typical product. There's not one product, which is therefore, necessarily much better than another. It's things like life insurance and the generic funds and that kind of business. So it's a little bit more financial than services. That's one thing.
Maxence Le Gouvello du Timat: In term of when we are looking to the Italian datas, it seems that BNL has gained a lot of market share on the Italian market. Have you done some special event on that size? Or is it just the natural consequences of the new client that you have acquired that are gradually getting more equipped?
Lars Machenil: Well, it's a bit blend of the two. So as you do know, we do also apply, for example, our Private Banking, which is not separate from the retail. So it's part of the retail, and that's basically the focus that we do. So when you have a branch, you are the retail, you can get the services of the private bank in a very integrated way, which works typically very well. And that's one of the reasons why we've seen in generically the pickup and why we've also seen the pickup in Italy.  And if we now take the plane and we go to the other side on BancWest. So indeed BancWest, if you look at the evolution of the top line, excluding of the one-off elements of last year, you see that the evolution is a tad slower than what you had on the volumes. And that is because the fees and commissions are a tad slower than what you had. So it's not related to the net income margin. It's related to the fees, which are a tad slower than what we had a year ago. When we come to your...
Maxence Le Gouvello du Timat: Are you not concerned that many people will say that the retail in the U.S. are starting to be top of the cycle, that you continue to focus in term of growth on commercial real estate, how this kind of element? And combined with margin pressure, this looks like we are at the top of the cycle over there?
Lars Machenil: No, one of the things we aim to do with BancWest, we aim to make it just like our Domestic Markets. So we focus it on cross-selling. We don't focus it on one single product. We focus it on the products of the bank, so close to corporation with also the East Coast. So that's why we feel comfortable of that growth. And when it comes to your third question on the common equity Tier 1 ratio, you're right. So there are, indeed -- there's, of course, a contribution of what we did with First Hawaiian. And when it comes to the bottom line, of course, as you say, the bottom line, you have to take into account that reserves, 50% of that bottom line into dividend, that's one thing. The second thing is that as we follow our clients and we pick up our lending activities, there is also a pickup in risk-weighted assets. So you have to somewhat mitigate that. The second thing, which is very important, and this is a technical term, excuse me for it, it's called recycling. Although that means, if we sell, for example, a participation that we have, that participation is already the value is really taken into account in the capital. If we sell it or sell part of it, it basically gets recycled. So we basically get it into the P&L, but we basically lose it in our available-for-sale. And so that's why, in total, although it looks like a strong earnings, there's only a part of that, which goes into the capital. So that is -- these are the three reasons why overall, our evolution is 15 basis points between the 2 periods.
Maxence Le Gouvello du Timat: And that has been going forward, your usual run rate is around 20 bps per quarter. Do you feel comfortable with it ?
Lars Machenil: No, no, no I don't think it's 20 bps per quarter. In a normal run of the mill, as we said, of the 100% earnings, there is 50%, which goes into dividend, there is a -- if this a normal run-of-the-mill, there will be 35% that we need to cover our growing balance sheet, so our growing RWAs, on which we will also need 12% of common equity Tier 1. So we more have 15% that is basically every year going into capital. So on an average per quarter, it is lower than that.
Operator: We now go to the line of Matthew Clark at MainFirst.
Matthew Clark: Two questions for me, please. First one is on the Personal Finance division, where you've got volumes growing much faster than revenue still. Could you just give us a bit more color on products and geographies and what's driving that, their version and maybe with some quantification to help us get a grip on it? And then secondly, the comment of a very good contribution of principal investments in the Corporate Centre, could you just give us some -- the context with which you say that, that was a very good contribution? Are you talking about the last year level or specific quarters? Or what? It seems that in the first quarter 2016, there was a much stronger contribution from principal and investments. So just some help gauging how you view, that would be helpful.
Lars Machenil: So first of all, on the PF, we've guided that indeed, we have good volume growth, but we also guided that we focused on products, which typically have a better risk profile than before. I'll give you my typical example, is instead of financing the person buying its large flat screen, which basically the moment you walk out of the store, values at 0, we basically focus on a car, where if you drive out, of course, it also loses some value, but it doesn't fall to 0. So that basically means that the risk profile of these products is different. And so what we basically see is that in the bottom line, this is improving, but it basically shifts a bit between the contribution in the top line and the contribution in the cost of risk. So overall, that shift that we do towards the better products at a better -- is basically positive as you can see in the first quarter. Your second question on the guidance of Principal Investments, the way we do it is relatively simple. If you take the top line in the Corporate Centre and you strip out exceptional elements, like for example, the Shinhan that I've talked about or other stuff, we basically guided that on average, that would generate EUR 60 million, so without the exceptional items. So if this is basically the result would be substantially better then basically this would be driven by principal investments. So that will be the guidance that we give. So I said 60 -- 6 0 is without exceptional, so basically what we give as a run rate. And if it is substantially better as it is now then that is basically on the back of principal investments. So that will be my two answers, Matthew.
Matthew Clark: When you say on the back of principal investments, above usual principal investments contribution? Or is the EUR 60 million excluding all principal investment contribution?
Lars Machenil: No, no, no the EUR 60 million is -- there is a kind of run-of-the-mill of principal investment. There' is some cost related to it. There is some minimal earnings related to it. And that's basically what it is.
Operator: We do have one final one, and that's Jean-Francois Neuez at Goldman Sachs.
Jean-Francois Neuez: I would just like to have 2 remaining questions, please. The first one is on tax rate sensitivity to point of headline tax rate change in the three countries of France, Belgium and the U.S., if you wouldn't mind sharing that with us, if you have it handy? And my second question is when I look at the shape of the balance sheet, I think year-on-year, you've grown your deposits by roundabout EUR 90 billion, loans by roundabout EUR 20 billion or so. And as far as I can see, your funding plan is continuing as usual. I know that you have the capital announced to issue and so on, but was the deposit growth that you've experienced planned and your funding plan based on that? Or you're finding yourself with maybe more deposit funding then you would have thought? And is your funding plan potentially, I would say, at risk, but that's not the right word, so is an opportunity to reduce the funding plan going forward and potentially have some sort of room for maneuver in the liquidity cost or the revenues in Corporate Centre and so on?
Lars Machenil: Thank you for your questions. On the tax rate sensitivity, well, the thing is, I do not know what is the realistic scenario. So you know the size of what is France, Belgium and the U.S. So I think you can do your estimate on what it is. And so the only one where we have some guidance going forward is France 2020. Belgium said that they would review it, but then they decided that they wouldn't change. So honestly, I'll let you run the numbers because whatever I say, it's probably not the right thing to do. And when it comes to your other question on the loans and the financing, so it is true that the funding has to take into account elements like the LCR, but it's not only the LCR. It also has to take into account the TLAC. So you do know that we need instruments for the TLAC and so forth. So that basically means we have to see and we have to optimize between those elements. And so we have to see how our funding in other businesses works and how we optimize between those different needs. But that is something that we constantly do. And as I said, we're trying, as I said, with the LCR, it's a back-stop, the same thing with the TLAC and we try to optimize the overall funding. That will be my two answers.
Operator: Okay, we have a final question, and that is over to Alex Koagne at Natixis.
Alex Koagne: Just 2 remaining questions from my side. On the Compte-Nickel, just trying to understand, is it like an investment? Or is it -- are you expecting some potential cross-selling with BNP? I guess, the question has to relate with what you said on BancWest. I think on First Hawaiian, you sold this -- you're selling this asset because there was no cross-selling with the remaining BNP. So I'm just trying to understand what is the logic behind the Compte-Nickel. The second question is related to MiFID II. I think that one of your competitors said that they will have a negative impact on the derivative, on margin in derivative. Is it something that you share?
Lars Machenil: Alex, could you just repeat your last question, I'm not sure...
Alex Koagne: It's related to MiFID II. One of your competitors said that the implementation of MiFID II will have negative impact on the margins when it comes to the derivative business. So I was just wondering if this is something that you share.
Lars Machenil: Alex, I'll start with your first question. So basically, let's not forget, so Compte-Nickel basically gives us access to clients and to growth. And as I said, as it is on the vanguard of digitalizing banking processes, that makes a lot of sense for us as a complementary kind of way of serving clients and capture into the growth that comes with it. So that is basically you are on that. Listen, on the fact of MiFID II, there is no particular point that I have on the agenda. So there's not much I can add to that.
Operator: Okay.
Lars Machenil: So I just wanted to thank everyone -- let me just finalize. So I wanted to thank everyone for their contribution. You've seen our good business growth. You've seen our sharp rise in income and operating divisions. You've seen that Basel III common equity Tier I stands at 11.6% and you saw that we had a good start of the plan 2020 in good conditions, and I wanted to thank you for that. Thanks.
Operator: Okay, this now concludes our call. Thank you very much for attending. And you may now disconnect your lines.